Operator: Welcome everyone to the Iron Mountain Third Quarter 2009 Earnings Call Webcast. (Operator instructions) Mr. Golden, you may begin.
Stephen Golden: Thank you and welcome everyone to our 2009 Third Quarter Earnings Conference Call. After my announcement this morning, Bob Brennan will give a state of the company remarks followed by Brian McKeon, who will deliver the financial review. When Brian is complete, we will open up the phones for Q&A. At this time, I'd like to thank everyone who joined us for our Annual Investor Day event earlier this month. It's an event we certainly look forward to every year and hope you found the presentations both interesting and informative. We appreciate your support and as a reminder, an archived version of the webcast and the slide presentations are currently available on our website. In an ongoing effort to enhance our communication with the investment community, we recently undertook an audit of our IR website. As a result of that audit, we'll be adding new content to the site. The first items to be added are biographies for our board of directors, which can be found in the corporate governance section, and information with respect to our debt portfolio in the supplemental data section of the site. The debt information contained in this new posting is routinely disclosed in our earnings slides and periodic SEC filings. However, we believe the central repository will prove useful to investors. The information presented is as of the end of the quarter and will only be updated along with our non-GAAP measures on a quarterly basis. Please watch for additional upgrades in the coming quarters. Per our custom, we have a user controlled slide presentation on the investor relations page of our website, at www.ironmountain.com. Referring now to slide two, today's earnings call and slide presentation will contain a number of forward-looking statements, most notably our outlook for our 2009 financial performance. All forward-looking statements are subject to risks and uncertainties. Please refer to today's press release, the Safe Harbor language on this slide or our current report on Form 8-K filed on May 8, 2009 for discussion of the major risk factors that could cause our actual results to be materially different from those contemplated in our forward-looking statement. As you know, operating income before D&A or OIBDA and free cash flow before acquisitions and investments among others are metrics we speak to frequently and ones we believe to be important in evaluating our overall financial performance. We provide additional information in the reconciliation of these non-GAAP measures to the appropriate GAAP measures as required by Reg G at the investor relations page of our website, as well as in today's press release. With that, I'd like to introduce our CEO, Bob Brennan.
Robert Brennan: Because we're only three weeks from Investor Day, my comments today will be brief and I would like to start by re-emphasizing the key messages that we had on Investor Day. The first thing being that we have a very solid expanding foundation of business at Iron Mountain. It's a resilient business, it's diversified across geographies and product lines, and it's a business that continues to deliver solid growth. This is true across all three of our reporting segments, North American physical, international physical and worldwide digital, all of which are solid foundations. And we are building future growth on these solid foundations. The second key message, that we were seeking to convey a few weeks ago, that we continue manage well by applying both focus and discipline to our management cadence. We're driving productivity improvements and getting the higher returns that come with those. It's a functioning of focusing on operation excellence, which distinguishes us both competitively and in our results. This is a continuous improvement process and we continue to invest as a result of those improvements in both growth and returns. We are in no way mortgaging this business to benefit current results. This disciplined approach is serving us well in this environment and for the long-term. The third key message that we wanted you to hear was that we are pursuing substantial growth opportunities. We face a set of market dynamics that are fueled by trends which are big, long-term and inexorable. It's about information growth, regulation growth, litigation growth and what we see as an ongoing tightening of IT budgets for the purposes of [light-con]. The three major long-term growth opportunities we're pursuing are in our core physical business, our document management solutions business and in our digital business. In the core physical business, it's about selling more. This is a very large un-vended $9 billion market opportunity, where we are seeking to target new customers by segmenting our base and penetrate and cross-sell our existing customers. In document management solutions, the second area of our focus, it's a very large market that's measured in the tens of billions where we are really getting at the paper inefficiencies that exist in our customer systems and workflow. We have a unique competitive advantage here because we have the capabilities of both the physical handling and the digital handling of their documents and this crosses into both. And we have line of sight to our customer's inefficiencies by dent of already being their custodian for their information assets. And the third large market opportunity is in our digital business where we already have leadership in providing storage as a service. And again these are trend-favored markets where we compete effectively today as a result of the brand recognition we have, the existing customer base that we have and our expertise specifically around compliance. So given these growth opportunities, we continue to invest towards our growth potential. For example, when we isolate those growth opportunities, we see great opportunity to continue strengthening our ability of facing the market and going to market through our sales force, our marketing organization and our customer service organization and we will continue to strengthen that capability and invest. Now we do expect growth will moderate in the near-term, as we said a few weeks ago, because the economic factors continue to apply pressure. But we remain very optimistic about the long-term opportunity and we're pursuing that aggressively. So if you step back on the Investor Day messages, what we were really saying is that we have a great business and a great opportunity. Our foundation remains solid, continues to expand and our disciplined approach to management is driving strong performance. We're well positioned to capitalize on large market opportunities and we're investing according. So now let me shift gears and give you a brief overview of our Q3 performance. In a few minutes Brian is going to walk you through the financial details, but first let me go through a few key themes. First, Q3 was a good quarter. Our foundation remains solid and we continue to expand. Storage internal growth was 7% consistent with prior quarters. Now as we move forward we do expect some moderation on storage growth given longer sales cycles and destructions are still higher than usual, again reflecting the current economic environment. The impacts from the economy continue to also pressure service revenue growth rates. We have lower activity rates and lower complimentary services. This quarter we were also up against some tough comparisons, particularly with respect to fuel prices which peaked in Q3 2008, as well as paper prices. But despite these economic pressures on our revenue growth, we continue to deliver strong sustainable profit performance. Our focus on operational excellence drives OIBDA growth ahead of revenue growth. OIBDA was up 10% in Q3 on a constant dollar basis. We are very much on track for a strong full year performance and we're raising our full year OIBDA guidance. Our execution is also driving strong cash flow performance and we're raising our full year free cash flow outlook accordingly. Now, in terms of our segment performance you'll hear some consistent themes from me. In North American physical business, we are focused on as you know on driving operational excellence with sustained storage growth and delivering strong profit performance through improving productivity as we go. In our international physical segment, we're building up the global foundation. We had solid revenue in the quarter. Good growth in continental Europe and Asia benefiting from growth investments that were made in these regions. We are making good progress against our strategic plans, which are really supporting improved performance where we're pursing North American-like returns over time, and worldwide digital is holding its own in a very difficult IT spending environment. The business continues to face new revenue headwinds where there's pressure on areas such as license sales, and our selling cycles remain longer than they had been prior to the recession. Now our recurring revenue base cushions the economic impact of these longer selling cycles, and while it cushions the decline, it also moderates the recovery. Our e-Discovery business continues to perform well and we're excited and confident about the strategic position of this business and we're committed to building the important growth platform going forward. So overall Iron Mountain continues to perform and the team is managing well in a tough environment. We remain on track to deliver solid financial performance in 2009 and we remain excited about the long-term potential for the business. With that I turn the call over to Brian for more detailed review of our financial results and our outlook for the rest of the year.
Brian McKeon: Q3 was another solid quarter for Iron Mountain. We continued to deliver strong year-on-year OIBDA growth despite economic impacts that are moderating top line gains. Excluding currency effects, revenues grew 2% and OIBDA grew 10% reflecting benefits from our continued focus on disciplined execution across the business. Overall, we're positive about our business performance and outlook and remain on track towards delivering strong full year financial results. Today we will review our quarterly results and provide an update on our cash flow performance, capital spending, and our current debt position. We'll also provide additional perspective on our 2009 guidance and the refinements we've made to some of its components, including an increase to our OIBDA and cash flow outlook. Slide four highlights the key messages from today's review. As noted, Iron Mountain delivered continued strong OIBDA growth in Q3 despite difficult comparisons to Q3 2008 and economic pressures that constrain top line gains. Storage internal revenue growth remains solid at 7%, supported by international expansion market growth and continued performance from North America. These gains offset weakness in serviced revenues due to lower core activity levels and declines in complimentary service revenues. Service growth was also impacted by tough comparisons to higher priority levels for fuel surcharges and recycle paper pricing. Despite these impacts, we continue to deliver strong OIBDA performance at the high end of our forecasted range benefiting from improved storage gross margins and productivity gains. For the quarter, we delivered OIBDA growth at 6% on a reported basis and 10% excluding the impacts of foreign currency rate changes. As a reminder, 2% of this growth is due to the initial re-characterization of vehicle leases that we've discussed in prior conference calls. We also to continue to improve our cash flows and strengthen our balance sheet. We remain on track towards delivering record cash flows this year supported by discipline capital spending and have maintained strong liquidity and record low leverage ratios. Overall we remain on track for strong full year financial performance. In terms of our outlook for the balance of 2009, we're refining our full year revenue guidance to reflect year-to-date results and raising our OIBDA in free cash flow guidance range to reflect our strong continued operating performance. I'll speak to this in more detail later in the presentation. Let's move on to looking at the details of our revenue growth performance on Slide five. Slide five breaks down our overall revenue growth. It shows internal growth by major service lines, as well as the impact of acquisitions in foreign exchange. As noted, our total internal growth for the quarter was 2% as storage gains were offset by pressures on service revenues. Storage revenues, which represent more than 55% of total revenues, continue to provide an expanding foundation for overall revenue performance. Storage internal growth for the quarter was 7% supported by consistent performance in North America and strong growth in international expansion markets, particularly Continental Europe. As shared at Investor Day, we do expect some moderation in storage revenue growth in upcoming quarters reflecting impact from the longer sales cycles and continued higher destruction activity. Core service internal growth was 1%. Gains were constrained by pressure on transportation and shredding service activity levels and significantly reduced fuel surcharges in Q3 of 2009. Excluding the impacts of the decreased fuel surcharge, core service internal growth was 4% in Q3. Core service revenue continued to be impacted by economic conditions and is a key factor in our moderated outlook for internal growth. Complimentary service revenue internal growth was minus 15% for the quarter within our forecasted range. Results reflect a $9 million year-on-year decline in recycle paper revenue and other impacts from economic factors which drove pressure on special projects fulfillment revenues and software license sales. Foreign exchange reduced reported revenue growth by 4% in the quarter, although trends on this front are improving and we should see moderately positive effects at current exchange rates as we move forward. Based on our year-to-date results and current trends, we're refining our full year revenue outlook. We expect full year internal growth to be about 3% at the low end of our previous 3% to 5% growth range. This change primarily reflects continued expected softness in service revenue given current economic conditions. Offsetting this impact we now expect foreign exchange to have a 4% to 5% negative impact this year. So our expectation for reported revenue growth is in a similar range down slightly for the year. Let's now turn to Slide six to review our P&L performance. Slide six compares the results for this quarter to Q3 of 2008. Overall improved storage gross margins and productivity gains supported continued strong bottom line performance. Our largest segment, North American physical, posted 1% total internal revenue growth. Solid storage internal revenue gains were offset by the decline in fuel surcharges, recycle paper prices, and lower service activity levels. The weakening of the Canadian dollar over the last year further reduced reported revenue growth in the segment. Our international physical business achieved 5% total internal growths supported by strong storage revenue gains, particularly in Continental Europe. The total internal growth rate was moderated by decreased complimentary service revenues, including impacts from the completion of a large European project in 2008. Reported growth was reduced by more than 15 percentage points due to the strengthening of the U.S. dollar compared to Q3 in 2008. As noted on previous calls, our international revenue and cost are aligned in local currencies and these changes don't impact the health of our business. Finally, our digital segment posted minus 1% internal growth. Our overall digital revenue gains continue to be constrained by pressure on new subscription sales and software license sales in the current environment. We expect the impact from software subscription sales will constrain digital recurring revenue growth heading into 2010. Sustainable productivity gains, particularly in our North American physical business, helped drive strong year-on-year improvement of 290 basis points in our gross margin. Higher storage gross margin in North America, aided by improved pricing, was a key factor supporting gross margin gains. Our gross profit and gross margin also benefited from the $5 million reduction in rent expense due to the initial re-characterization of certain vehicle leases from operating leases to capital leases. SG&A growth was 4% in the quarter compared to prior year levels excluding the impact of FX changes. This modest growth reflects targeted initiative spending and the selective impacts for certain expense accruals. OIBDA was $224 million for the quarter up 6%, including 2% of growth from the initial re-characterization of certain vehicle leases. OIBDA growth was reduced by 4% due to the year-over-year strengthening of the U.S. dollar in Q3 2009 compared to Q3 2008. Depreciation was $72 million and amortization was $9 million, in line with expectations reflecting continued capital spending controls. Depreciation grew $7 million versus prior year levels in Q3 primarily reflecting the additional depreciation associated with the re-characterization of vehicle leases. Operating income was $143 million for Q3 of 2009, up 5% versus the prior year. Excluding asset gains and losses, operating income grew 4%. Moving on with our review of Q3 P&L performance, slide seven bridges our Q3 operating income to net income and EPS results. Operating income for the quarter was up 5% to $143 million on a reported basis. Our Q3 interest expense was flat compared to Q3 of 2008. We continued to achieve interest savings driven by lower debt levels and reduced interest rates. These gains were offset in Q3 by additional interest expense related to our recent offering as we carried both the 8-5/8 funds and the new 8-3/8 funds for about a month during the call process to retire the 8-5/8 funds in September. Other expense for the quarter was $1 million compared to $16 million in Q3 of 2008. Included in other expenses quarter is a $3 million early debt extinguishment charge related to the retirement of the 8-5/8% notes which were partially offset by modest FX gains. As a result, we reported net income attributable to Iron Mountain for the quarter of $43 million or $0.21 per diluted share. Impact and net income this quarter was an effective tax rate of 47%. While changes in foreign exchange currency rates within the quarter had minimal effect, other discreet tax items added a net $6 million into our Q3 2009 book tax provision and reduced earnings by about $0.03 per diluted share. These discreet items include true-ups based on our filing of our U.S. Federal State in certain foreign tax returns and related foreign tax credits and interest in our tax reserves. In Q3 the impact of foreign exchange rate changes increased our effective tax rate by one point. Other discreet tax items such as I've just described increased our effective tax rate by an additional 10% in the quarter. For the quarter our tax rate before the impact of foreign currency rate changes and other discreet items was 36%. This was slightly lower than forecast in order to bring our year-to-date tax rate before impact of foreign currency rate changes and other discreet items to 39%. Currently, forecasting our tax rate before the impact of foreign currency rate changes and other discreet items for 2009 to be approximately 39%. Let's turn to slide eight to look at our year-to-date results. Turning to slide eight, you can see that our Q3 results continue the trends we've seen throughout 2009. Overall, we continue to drive strong operating [profit] performance despite economic factors that are constraining revenue growth. Internal revenue growth is currently at 3% for the year-to-date supported by storage revenue internal growth of 7%, which is offsetting pressures on certain activity-based core revenues and complimentary service revenues. We continue to leverage a disciplined approach to deliver strong sustainable profit results. Productivity gains and improved pricing in North America are key factors supporting a 290 basis point improvement in gross profit. Combined with controlled overhead spending, this has resulted in 320 basis improvement in our year-to-date OIBDA margin. Net income for the first nine months of 2009 was $160 million compared to $81 million for the same period in 2008. 2009 year-to-date EPS is $0.78 per diluted share. The key factors driving improvement in net income and EPS results are higher operating income and the impact of foreign currency changes on other income and expense and on our effective tax rate. For the first nine months of 2009, FX changes resulted in $24 million of other income and associated tax benefits. These gains have been partially offset by the $8 million of additional tax expense related to other discreet tax items. Combined, these factors have added about $0.08 to our year-to-date EPS results. In 2008, the impact of foreign currency rate changes on other expense and effective taxes resulted in a $0.16 reduction in diluted EPS for Q3 year-to-date. Adjusting both years EPS results to exclude these factors, comparable EPS has increased 26% year-to-date. Let's shift now to reviewing drivers of our cash flow performance. Slide nine summarizes our capital spending for the quarter. It highlights our year-to-date results compared to the full year 2008 amounts and our current 2009 outlook. For the first nine months of 2009 we've incurred $198 million of CapEx including $19 million for real estate. Consistent with prior years, we have a heavier level of capital spending scheduled later in the year. Based on our most recent outlook for 2009 execution, we're lowering our capital expenditure guidance to $360 million. We expect to spend about $10 million less than previously forecasted for real estate, and we expect some additional efficiencies for projected timing of project spending. Note that these changes should not impact our 2010 preliminary outlook for capital spending in the range of $380 million. We remain on track towards record capital efficiencies in 2009 and look to build on that progress next year while supporting key growth initiatives and projects that help drive long-term return improvement. Let's now move on to slide ten and look at free cash flow for the quarter. Slide ten highlights our year-to-date cash flow performance compared to the same period in 2008. For the first nine months of 2009 free cash flow before acquisitions and discretionary investments in real estate was $233 million. The year-on-year increase in free cash flow was supported by higher OIBDA and disciplined control of capital expenditures. Based on our strong year-to-date operating performance, we now expect free cash flow before acquisitions and discretionary investments in real estate for the year to be approximately $240 million to $270 million. This will result in a strong improvement over record 2008 levels reflecting continued benefits from our efforts to improve profitability and capital efficiency. Now let's turn to slide 11 to review our debt statistics. Our focus on cash flow improvement is supporting continued strengthening of our balance sheet and liquidity. As a reminder, in Q3 we issued $550 million of 8-3/8 notes due 2021 at a price of 99.625 and used the net proceeds to retire our 8-5/8 notes due 2013 and pay down our revolver. As a result, our debt portfolio at the end of the third quarter was in a very strong position. Our weighted average interest rate is 6.9% and we're 83% fixed. Maturity is now at 8.4 years with no meaningful repayment obligations until 2014. Consolidated leverage at the end of Q3 is now at 3.4 times at the low end of our new target range of 3.5 to 4.5 times OIBDA and substantially below our 5.5 times bank covenant limit. As we've discussed in the past, our business will naturally deliver in the absence of meaningful acquisition spending. Benefits from strong operating cash flows and limited acquisition activity over the last two years have produced significant improvements in leverage ratios and liquidity. We currently have $449 million in cash and $620 million in additional borrowing capacity. We have a very strong balance sheet and we're well positioned in terms of cash and financing capacity. While we maintain a solid operating outlook, we anticipate maintaining a conservative approach to cash management in the current environment. This concludes our review of Q3 2009 results. In summary, we're positive about our results. We continue to make progress in strengthening our business foundation globally while delivering strong financial performance. Let's now turn to slide 12 to review our updated financial guides for Q4 and the full year 2009. Slide 12 summarizes our full year 2009 and Q4 outlook. As noted, we've refined our full year revenue range to $3 billion to $3 billion 20 million to reflect year-to-date results. With respect to OIBDA we're raising our guidance range to $850 million to $865 million, reflecting our continued strong operating performance. This range implies 12% to 14% constant currency growth for the year. As a reminder, included in OIBDA for 2009 is about $20 million of reduced rental expense related to the re-characterization of our vehicle operating leases to capital leases. This change adds about 3% to our 2009 OIBDA growth rate. Offsetting the reduction in our renter expense are increases in our depreciation and interest expense. As such, there will be limited impact from this change to net income. As noted, we're lowering our capital expenditure forecast to $360 million for the year including about $45 million for real estate. For the fourth quarter we're projecting revenues of $766 million to $786 million and OIBDA of $212 million to $227 million. Turning now to slide 13 you can see our updated expectations for the P&L below the OIBDA line for the full year 2009. As we've just discussed, our OIBDA outlook is in the range of $850 million to $865 million. Our outlook for D&A remains at about $320 million and interest expense is up slightly from last quarter due to the impacts from our Q3 refinancing activities. As a reminder, we don't forecast other income and expense or non-controlling interest so the amounts that you see here are the year-to-date actual results. Likewise, with respect to our tax provision, we've assumed a 39% structural rate plus the actual impact of discreet items recorded in the first nine months of 2009. These expectations yield EPS in the range of $0.99 to $1.03 per diluted share assuming 204 million shares outstanding. As a reminder, our year-to-date results include impacts to other income and expense in our effective tax rate from changes in FX rates since the end of 2008 and other discreet tax items. Combined, these factors increase net income attributable to Iron Mountain by $16 million or about $0.08 per diluted share. Adjusting EPS for 2009 and 2008 to exclude these factors, this outlook implies comparable EPS growth of 18% to 23%. That concludes my opening remarks. We'll now open the lines for Q&A.
Operator: (Operator Instructions) Your first call comes from Andrew Steinerman.
Andrew Steinerman - JP Morgan: I'd like to start out, Brian, with just a big picture question about free flow and growth here. Obviously, this a year for free cash flow and you made your CapEx comment, but it also is a year where growth has decelerated. My question is as you look further out and growth reaccelerates into next year and beyond, do you feel like that will be a drag on cash flow?
Brian McKeon : No, Andrew, I think we're confident in our outlook. Obviously, at Investor Day we shared a multiyear view on this and that view incorporated the expectations for 2010 with some of the moderate improvement we're expecting on the growth fronts and obviously an improvement in growth [home stat] as we work through the economic downs that we're seeing currently. And even with that improvement, we're targeting continued capital efficiencies and continued improvement in our cash flow. So, we think that we've got that reasonably figured into our long-term outlook. As we've often discussed there are a number of things that will aid our cash flow growth as we move forward in addition to the discipline that we've been applying. We do expect to drive more growth from less capital intensive services. Areas like pricing are contributing more of our revenue growth over time than they have in the past, that's a positive factor in our business. So, this is not a short-term benefit from some change in volume, this is primarily driven by just increased discipline and focus and a real strategic emphasis on this as a key part of our financial strategy.
Andrew Steinerman - JP Morgan: My second question is about the preliminary 2010 outlook, which had a lot of different components in it given an Analyst Day, including 3% to 6% internal growth for 2010. I just wanted to make sure that you remain comfortable with the preliminary outlook that you gave for 2010 realizing it's still a little bit of a distance away.
Brian McKeon: We're not going to up update anything formally today but, obviously, it was just a few weeks ago and we're comfortable that that's a good range.
Operator: Your next question comes from Andrea Wirth – Robert Baird.
Andrea Wirth – Robert W. Baird & Company: I was wondering if you could just talk a little bit about the complimentary services, the growth rates there have been bouncing around a little bit, down call it roughly 15% then down six and now down roughly 15% again. I guess are things actually decelerating there sequentially, because I think the comp was actually easier especially since I think scrap paper prices are actually increasing sequentially. I just want to get a little bit more of a flavor as to what's going on in that business.
Robert Brennan: In terms of color, Andrea, the thing to know is that this is a lump year business. This is a more variable business for us than our storage business, right, it's the services on top of it and projects get delayed quarter-to- quarter. We do see the pipeline improving. I feel very confident about our ability to grow that business as economic conditions stabilize. But it is lumpy from quarter-to-quarter.
Brian McKeon : Andrea, we've seen year-to-date performance in complimentary revenues in line with our forecast. In the second quarter we did have benefit from a big license sale reinforcing the point that Bob's making is that you do see some quarter-to-quarter swings on this. But it's been consistent with what we had expected and we do expect continued pressures on the more discretionary revenue front until we see clearer signs of improvement in the economy.
Andrea Wirth – Robert W. Baird & Company: Just a question on the overall internal revenue guidance coming in at the lower end, is there anything that actually came in incrementally worse than you had been expecting or is it just a matter of we're at the lower end of the range just because things just hadn't accelerated or improved as fast as you would have thought?
Brian McKeon : We've seen a continued pressure on the service activity lows. Obviously our year-to-date growth is 3%. We've seen the last couple quarters a continued pressure on we noted transportation activity, shredding activity, it's general economic just how much folks are pulling their records back and forth from their record centers, as well as – it's interesting –
Robert Brennan: It's also the reflexes of the customers. If they historically wanted same day delivery, they are now okay with –
Brian McKeon : Premium services people are focused on that trying to manage that more tightly so that is the key factor. I think the other elements are consistent with what we've been highlighting.
Operator: Your next question comes from Kevin McVeigh – Credit Suisse.
Kevin McVeigh – Credit Suisse: Obviously, the storage growth picked up nicely sequentially the storage from six to seven and I know it seems like there are still some challenges there from a macro perspective. Can you help us kind of frame out the range your thinking about in that business?
Brian McKeon : I think obviously, we're dealing with trends that we've seen in the last few quarters related to delays in sales cycles and higher destruction levels, which historically for the company you see that periodically, but I think the economic conditions continue to push companies to take big steps to say how might I save money and that's pushing them to consider destruction programs. So, we know that those factors, as they flow over and start getting incorporated in the underlying volume growth they are going to moderate our growth rate. I think it's a reasonable expectation to see storage growth in the mid single-digit range in the next few quarters and it's still solid. It's still positive, but it's not going to be at the higher rates we saw at the end of last year driven by these economic factors.
Robert Brennan: I pointed out, Kevin, at Investor Day in just one comment so I just want to emphasize it here is that we help customers with this. We go to them proactively. They're looking to have lower total program costs. We're obviously not interested in lower prices, but we're able to help them lower their costs by getting after what they can destroy. And so, we're in many cases self-inducing this because it helps our customers lower their program costs and without lowering our prices and it's useful for them in this timeframe and that's part of what we're doing is [smart holding].
Kevin McVeigh – Credit Suisse: Can you just remind us, obviously, there's a benefit from the destruction, where that's reflected across the three components? Would that be more in the storage itself or in the other parts of the business?
Brian McKeon : It will come in the core service revenues and so that's actually mitigating some of the activity pressures that we're seeing.
Kevin McVeigh – Credit Suisse: We're at a 29.3% EBITDA margin and really its part of a trough of a cycle. That's at the trough. And I wonder are there any thoughts and kind of targeted EBITDA margins as we think about the business going forward?
Robert Brennan: Kevin, that's just not how we manage the business. It's not how we think about it internally and we resist talking about it externally as well.
Brian McKeon : We obviously provide outlook on what we think our OIBDA growth can be over time relative in our revenue growth and implied its continued moderate margin gains over time. I think to Bob's point we're going to look at maximizing our business potential and we do like having that discipline across each of our business segments to say we want you to grow profits faster than revenue as a discipline and we'd like to deliver that as a company, but I think we don't have an absolute margin target.
Robert Brennan: Right because you would do things like moderate how you would pursue DMS deals because it would take down OIBDA in a given quarter. That doesn't make sense if it's a good economic opportunity.
Brian McKeon : Kevin, obviously our preliminary guidance for 2010 would imply that we're going to keep on this path and make continued strides.
Operator: Your next question comes from Vance Edelson – Morgan Stanley.
Vance Edelson – Morgan Stanley: With the state of the economy being such a hot debate, especially the past week, anything you've gleaned during the month of October since the Investor Day on whether things are improving, anything interesting that's come up in customer conversations recently?
Robert Brennan: Vance, you see bright spots in certain parts but there's still just a general tone of cost cutting as people are preparing 2010 budgets. They're trying to figure out how they can save money, so there's still amongst our customers this where can we save? At the same time we're seeing a big pickup in the pipeline. A lot of the things that get deferred throughout this year are starting to build and people can't put off investments and IT infrastructure forever. They can't. So it's a mix. There's still a tremendous just undertone of just wanting to save money, but our pipeline's improving in part because it had been backing up.
Brian McKeon : What we see internally is a lot of interest in more dialogue with customers for bigger ways for us to help them manage records, which plays in very well to things like our DMS Pro strategy. But I think at the same time, I think Bob mentioned as I did, there's more people involved with saying no and there's more of a tendency to delay these decisions. So we're hopeful but we haven't seen the improvements yet.
Robert Brennan: The good news is our value proposition leads with saving money. But I was at a customer last week where we can save them a lot of money through next year, but they still have to – there's just more people involved in that decision than there would have been even a year ago.
Vance Edelson – Morgan Stanley: Regarding just a couple of external factors, could you provide a little color on how recycled paper prices are tracking most recently, since that can change quickly, and similarly, any thoughts on how fuel prices are impacting the business this far into the quarter?
Brian McKeon: First on recycled paper, we've seen improvement on that front. The market is now in the $150 to $160 range. When we met a few weeks ago at I-Day it was closer to the $130 range. So that's obviously picked up. There's demands improved in Asia. It's interesting there's sort of a supply demand dynamic going on where there is less recycled paper being generated and reasonable demand from Asia. So you've got a bit of an imbalance there that's helping to support higher prices in the near-term. So that's a positive factor. I think it's important to keep potential benefits like that in context for our business. Recycled paper is about 2% of our revenue. While the market pricing may be up, we are planning for continued pressure on service and activity levels, so that'll offset some of those gains. And on balance it's a positive factor but I just want to be clear that it's likely to be moderated by other effects.
Robert Brennan: So I mean keep in mind, Vance that as the price of paper goes up with the smallest competitors in local markets, the price of service goes down. So there's a Ying and Yang here.
Brian McKeon: On your second question, the energy costs really haven't been a major impact on our business. We've seen some efficiencies on the transportation side they continue to trend in the 3% range for our business. We had some decreases in fuel surcharges which offset some gains in the efficiencies so net-in-net it hasn't been a major driver of our margins but relatively more favorable, if that continues that'll help us a bit.
Vance Edelson – Morgan Stanley: With the consolidated leverage target of 3.5 to 4.5, presumably you'd like to be in that range over the long term. Any thoughts on how you'll get there or how soon you want to move to that range? Or for the time being, will you be happy to remain below the targeted range?
Brian McKeon: You know what we're committed to leverage as a part of our capital structuring approach and at the same time we're okay with being relatively more conservative in the near-term, we're okay with temporary moves out of range. So I think it's something we'll continue to monitor and we're okay with being a bit low in the current environment. And over time obviously acquisitions are something that we are interested in strategically and if we don't have opportunities on that front we'll look at other vehicles to make sure we have an appropriate capital structure.
Operator: Your next question comes from David Gold – Sidoti & Company.
David Gold – Sidoti & Company: I guess looking at storage picking up sequentially and then you pointing to sort of mid single-digit growth from here on out over the next few quarters, can you just give a little bit more of a sense – I know you pointed to a couple of factors, but what are you guys basically looking at that isn't showing just yet in the numbers?
Brian McKeon: Well, one thing to highlight, David, is we obviously round our numbers and this was a soft seven, if you will, so it's not all that different in terms of the trends. And we even outlined the key factors are it's just the flow through effect of some of the delayed sales and the higher destructions. It takes a little time for that to flow through. We did see continued higher destructions in the quarter and. And I also highlighted, it's a smaller part of the equation, but the digital business the slowdown in subscription sales, that typically for us has been a real positive factor and strengthening in the growth rate because that's a high growth area. And when you don't have that growing at the same kind of rate, it doesn't give you the upside benefits. So those are all the factors. I don't want to cause undue concern. We're talking about some moderation but still solid growth and not a significant change from where we've been [turning].
Operator: Your next question comes from Ashwin Shirvaikar – Citigroup.
Phil Stewart for Ashwin Shirvaikar – Citigroup: This is Phil Stewart on for Ashwin. I just wanted to ask about the international internal growth that seems to have held up better than North America. Can you just go through some of the differences there?
Robert Brennan: Fundamentally, the major markets that we're operating in there, the U.K., Continental Europe, we've been investing in that business. And hopefully, as you've seen if you look back over the last few quarters, we see continued improvement out of our international segment. They've really turned a corner in their performance and we expect them to pursue North American-like returns over time. We should feel really good about that business and the way the team's improving performance.
Brian McKeon: Yes, we try to highlight the progress in the expansion market. So Continental Europe, Latin America as well were key contributors to the improvement that we've seen on the growth side, and there are similar factors in backing international and markets like the U.K. The trends that we're seeing in the U.S. are similar to what we see in the U.K. But I think, as Bob said, on balance we've got good growth from expansion markets and in a good place where we think we can drive good profit performance as well as moving forward. They're doing a good job.
Phil Stewart for Ashwin Shirvaikar – Citigroup: On the preliminary 2010 guidance, given the raised OIBDA range for 2009, is 6% to 11% growth still achievable or should we look at the absolute range that you provided?
Brian McKeon: We look at it from a growth rate point of view, so we're not updating formally today, but our intent would be to grow in a similar range off of our forecast this year.
Operator: Your next question comes from Scott Schneeberger – Oppenheimer Funds
Scott Schneeberger – Oppenheimer Funds: Going back to the question on storage and you mentioned it's going to be mid single digits, I know you're asking to predict the future here, but do you see that persisting it sounds like through this quarter and into the beginning of next year? How much visibility to you have into how that's going to trend? And then second part of that question is, is that predominantly commentary associated with North America? And then types of trends you're seeing are they consistent globally with North America or is there any divergence of the two in storage?
Robert Brennan: North America and the U.K. perform in a similar fashion. Outside of that, there isn't a lot of similarity. It's essentially the way we're investing in the expansion markets that Brian just mentioned.
Brian McKeon: We have visibility into the next few quarters and because it's predictable with an understanding. We've consistent trends on things like incoming volume on storage and we obviously know what the flow through effect of things like net sales will be. I would say that that trend can change. It doesn't change quickly, so I think our visibility is more over the next few quarters and that's all we're trying to highlight. There's going to be some moderation and it's entirely consistent with the guidance that we provided at I-Day. That's why we're in that 3% to 6% range in part is the factors that we're highlighting that we do expect some moderation in the growth rate as we head into next year.
Scott Schneeberger – Oppenheimer & Company: Could you guys address a little bit on the vertical? Do you serve health care, legal, etc.? Just any trends you're seeing between those and financial services, obviously. Any pickup in financial services, for instance just off late trends that might be noting?
Robert Brennan: Our largest customers in financial services we're actually highly engaged in helping them reduce their capital expense in favor of paying us as they go. So I feel very good about the biggest customers in that segment. There's really no discernible change when you get outside of the top 20, but we feel very good about our engagement with the top accounts in that space. Health care, as you know, there's an awful lot of activity around how vendors can work together to essentially get at this acute problem and the amount of money that's going to it. I would say that the pipeline doesn't really for me act as a predictor of our results. There's an awful lot of interest in proposals and that sort of thing. We're seeing very good tracking in our medical image archive business, but it's a small business still and we're building it as a flywheel but we continue to sign a lot of contracts there. A lot of activity in health care it doesn't necessarily come through the pipeline as readily as it would in financial services. I actually feel pretty good about the way our biggest customers are behaving in financial services.
Operator: (Operator Instructions) Your next question comes from Franco Turrinelli – William Blair & Company.
Franco Turrinelli – William Blair & Company: I wanted to start with the worldwide digital side of the business and maybe just help me understand a little bit or remind me a little bit how that is composed because that I would think is an area where your storage business would be growing pretty fast just due to the proliferation of digital records. But obviously there is other things going on in there including software and other stuff that can limit the internal growth. Can you drill down in worldwide digital a little bit more for me?
Robert Brennan: So worldwide digital is comprised of we have the backup in data protection segment, which constitutes the LiveVault and Connect acquisitions. We have an archival business and we have an eDiscovery business. The storage comes off of the first two and new sales are very tough in that environment right now and you can see that in our growth rate. The sales cycles are longer, IT purchases are deferred. I spend a lot of time with CIOs and I can see just pure companies and how they're really delaying and deferring IT investments. I think a quick anecdotal survey would be just check with any CIO right now and see what their budget growth is year-on-year and it's down in absolute terms. An easy place to defer is on incremental storage and we're seeing the net effect of that in our revenue cycles and that is really a function of new revenue.
Franco Turrinelli – William Blair & Company: So even though there is a component of that revenue that's related to volume of storage you're saying that people are kind of constraining the growth of that storage volume even if more records are out there. Is that the way to understand it?
Robert Brennan: Yes and, Franco, it's happening both on a subscription basis and a licensed basis. If you look at the results of the pure storage providers into the market they're actually going backwards in absolute terms. The easiest proxy for this is to look at the results of the big storage providers because our biggest competition in this business is people doing it for themselves by buying storage, and you can see that they're buying less and less of it and we're seeing the effect of that. It's not as dramatic with us because of the recurring revenue base and the recovery won't be as dramatic.
Franco Turrinelli – William Blair & Company: The other question that I have for you and this is kind of a big picture question. I'm really interested by this decoupling in a sense between core services growth and storage growth. As you know, I've covered the company for over a decade and generally we've seen fairly good correlation between core services and storage with core services actually averaging slightly higher than storage. And you partially answered the question by talking about transportation shredding, the impact of fuel surcharges and stuff. But I'm curious if you think that there is something more fundamental going on here or if this is a temporary thing. And if it is a temporary thing, is this just a deferral or is there something more fundamental than a deferral?
Robert Brennan: Let me tell you how I think about it, Franco. The strategy if you back way out is to get storage and drive services on top of that storage. But one of our fundamental value propositions is to help customers get rid of information. When we go in our value proposition is to actually lower your costs associated with this stuff. Most companies save much more than they need to save and that we end up with more storage as a result but it's really getting at their inefficiencies and our goal is to keep adding more services on top of storage. That's our fundamental value proposition but it's all driven to reduce cost and in many cases that means lowering their cost of storage without lowering our price.
Franco Turrinelli – William Blair & Company: I guess where I'm not sure that I understand the impact of that is whether or not – and again with not a quarterly outlook but with a multiyear outlook. Should we think of services returning to being inline with or above storage growth, or are we now in a stage of the business where services will actually remain below storage growth.
Brian McKeon: Are you referring to core services?
Franco Turrinelli – William Blair & Company: I am. I'm sorry I was imprecise. I was referring to core services only, I apologize.
Brian McKeon: We do think over time our core services growth should be at or above our storage growth that's our intent, obviously. Areas like shredding, Franco, are a bigger part of the business that's a key growth area. And the factors that are pressuring in the short-term if you really look at it is activity levels its people are swapping out premium activity for standard activity. There is 10% unemployment. There are records that are sustaining in our facilities and natural volume from businesses but there's less business activity going with those records in the short-term. So it's clearly, from our point of view, an economic impact and our strategy over long-term should support higher services growth.
Robert Brennan: Actually as the economy rebounds.
Brian McKeon: This is clearly unusual. We didn't anticipate – the changes have happened relatively quickly and it's something that we didn't anticipate which is why we have a lower growth outlook than we did when we came into the year. But we don't see this as a secular or strategic change in the business. I think that concludes the call today.
Robert Brennan: Yes, thanks very much again for attending Investor Day a few weeks ago. We very much appreciate your support and your time today on the phone. Enjoy the rest of your day.
Operator: This concludes today's conference call. You may now disconnect.